Israel Bar: Hello. Good morning to the U.S. participants. Good afternoon to the Israeli participants. My name is Israel Bar, I’m Maris-Tech Founder and CEO. Also with me is Mr. Nir Bussy, our CFO. Thank you for joining us for this webinar. This is the first-time we hold such an event, but we intend to continue with similar events in the future. Before we start, please take a few seconds to review the forward-looking statements presented in this slide. On March 21, we published our 2023 financial statements, and we invite you to review them. Mr. Bussy and I will present to you during the next 10 to 20 -- to 15 minutes the company's technology and business activities, as well as the financials key information. During the webinar, you may ask questions in the chat room, which will be addressed right after the presentation. It is important to mention that in accordance with the legal advisor's instructions, we can only refer to information that has been published in the EDGAR system. So who is Maris? What we are doing? What is the technology? So Maris is a company which is dealing with what we call AI-based edge computing, which according to what we see in the market these days, it is one of the most rapidly developing technology. When we are talking about edge computing, we are talking about a technology which enables autonomous decision making at the edge on any remote platform. It can be a drone. It can be a robot. It can be a vehicle, and many other platforms which are equipped with cameras, with video, and needs to take decisions autonomously. Edge computing functionality, as I said, relies on a variety of video sensors, and it can be any sensor available in the market, starting with standard definition, high definition, and any other standard which is mounted on a remote platform. Another important feature, which relates to the edge computing is the possibility for the technology to provide and stream the video, from the remote platform to the operator and do it in low latency. And when we are talking about low latency, we are talking about an important feature which shows the delay in between what the camera sees and what the operator sees, and this is a very important feature when we are trying to control a remote platform, and it should be as low as possible. Maris declares a 100 milliseconds end-to-end latency. Now when it comes to edge computing, most of the edge computing related applications, such as small drones are very sensitive to size, weight, and power consumption. Maris technology, the wide range of Maris hardware and software solutions answer these requirements and provide a technology which is crossing large and fast growing markets and applications. Now it is important to mention that, the announcement we have published yesterday, about the cooperation with Renesas is a strong evidence of the recognition of the Maris technology and the recognition that Maris gets from market leaders, in regards to what we are developing. Let me now take you through the applications in which Maris is involved and deployed. This applications tool will give you much better view of what our technology is capable to do. So let's start with defense. Defense now is one of the most important markets for the Maris technology, and unfortunately, we cannot ignore the fact that these, that defense plays these days an important role all over the world, especially, due to the war in Ukraine and here in Israel. We also cannot ignore the fact that the modern battlefield is significantly changing. AI and instant remote visual information are creating a revolution. And as a result, defense budgets are significantly growing. If you are looking now on the list of application in which Maris is involved in each one of them, we can see the drones market. Drones now are everywhere. They are used in military applications. We are talking about indoors and outdoors drones, which are used for attack, for intelligence gathering, and Mars is providing the video payloads for such drones. I can tell you that we have almost, we already have thousands of drones equipped with the Maris technology here in Israel and in many other locations worldwide. Armored vehicle situational awareness, that's also an important part of AI capabilities where, the people sitting within an armored vehicle get an indication about threats, around surrounding the armored vehicle. Without going into too details, Maris during the last few months, already equipped hundreds of armored vehicles with or situational awareness solutions, and we are now in these days providing and delivering a few hundreds more, and I can tell you that from the feedback that we are getting from the battlefield, our technology is saving lives. Other applications are related to missiles, missile launchers, rotary ammunition, special forces, tactical devices, and another important market that Maris is dealing with is together with intelligence agencies We are developing now, and we won a few tenders for AI-based sophisticated intelligence gathering, and we are going to play an important role in this market. And, of course, many other, unmanned vehicles such as UAVs and unmanned ground vehicles and similar. This slide is an excellent description of where Maris is? Maris is inside each and every application that you miss may see in this slide. It can be in a satellite. It can be on an infantry soldier. It can be in a sniper side, or it can be an aircraft or a military drone. So the Maris technology is good enough to cross a wide range of defense applications, as well as others, and provide everything you need in the modern battlefield, bringing the information to the operator or to the headquarters in order for the headquarters to take decisions during the war. Another important market is the Homeland Security. Maris is providing solutions for law enforcement, border control, and a lot of solution with miniature devices and low power devices for covered applications on a remote platform. Maris is also involved in space applications. I believe that based on the announcements we have made in the past, that we have provided the video for the Israeli’s first satellite that was launched to the moon, the Beresheet 1, which was providing video until the last moment before the satellite crashed on the moon. We have been awarded with the new project the Beresheet 2. We have a project with a U.S. company for a situational awareness in space, where we provide high quality visual data acquisition, collision avoidance, docking and proximity, and many other space related applications, and this project is in process. Smart City and Safe City are also important applications where we are using our technology, together with partners in the area of AI applications, and our technologies are now serving crowd control, traffic monitoring, and other smart city applications. We can even use the technology, in commercial applications, drones delivery, smart retail, when we can detect behavior of customers in malls and similar sites, site infrastructure, precision agriculture, and machine vision. Now, this market of the edge computing is expanding and exploding. Now every, every new research shows bigger and bigger numbers. As of today, based on some of the research, we're talking about a market of $50 billion during 2023, which may grow up to more than $100 billion in 2028, and I have the feeling that within a year, we have a research which shows much more than that. Maris also expanding its market presence, except of Israel, which is our main market as of now, but we have a lot of activities worldwide. We are now in the Far East. Even the announcement of yesterday will add a flag in Japan, which we didn't have the opportunity to add into the presentation. We have a strong position in India. We have a lot of drone customers in India. We are working in a lot of projects in Europe together with our U.K. distributor, and now we are doing a lot of efforts to access the U.S. market. We intend to be, at exhibitions, and we are using local partners and the agents, which will help us to have similar activities like we have here in Israel with the defense industries, we have something similar in the U.S. And now, Nir, our CFO will continue with the presentation.
Nir Bussy: Hi, everyone. My name is Nir Bussy, and I am the CFO of the company. As Israel said, I will share with you some highlights from our financials.
Unidentified Company Representative: Open your camera, please.
Nir Bussy: Just a second.
Israel Bar: We can see him.
Nir Bussy: Okay. As Israel has said before, I will share with you some highlights from our financial, focusing on what we can disclose as a public company. Our revenues has increased since 2020 from $1 million to $4 million in 2023. As you can see at this stage, we are a project company and our revenues are not linear. So, for this reason, our revenues for the second half of 2023 was approximately $3.6 million. Our projections for the current year for 2024 is, our revenues of approximately $7 million, it’s based on our backlog as we announced during January this year. Our backlog continues to increase from backlog of $600,000 to backlog of approximately $10.8 million, as of March 20, 2024. The backlog define -- we define backlog as accumulation of all pending orders with the later fulfillment date for which revenues has not been recognized and we consider valid. Our backlog consists of executed purchase order from new customer and existing customers, which we have had long standing relationship and from governmental agencies. Some highlights from our financials. Our revenue totaled to $4 million, as of the year ended December 31, 2023 compared to $2.5 million in the previous year. Our net loss for the year ended December 31, 2023 was approximately $2.7 million compared to $3.7 million in 2022. As I said before, our total revenue for the six months ended December 31, 2023 was approximately $3.6 million, and the net loss for the [indiscernible] was approximately $500,000. The balance of the trade receivable in our balance sheet, as of December 31, 2023 was approximately $3 million, and our cash, cash equivalent, and bank deposit, as of December 31, 2023 were approximately $5.2 million, as of March 21, 2024, our cash, cash equivalent, and bank deposit are approximately $4.75 million. Thank you very much.
A - Israel Bar: Okay. We are -- okay. This was the end of our presentation, and now we are open to answer your questions. And as I said, we will answer whatever we are possible to answer, based on the information available in the EDGAR system. And you may take, the next minute or 2 to add more questions if necessary.
Unidentified Company Representative: [indiscernible]
Israel Bar: Okay. We will start answering the questions. We have a question from Brian Landfill (ph), and I will read the question. Could you talk a little more about the importance of real-time edge AI video analysis for your customers, and the challenges of doing that analysis with other technologies of video processing, which means on the cloud? This is an excellent question because the main reason for edge computing and implementing AI at the edge is due to the fact that the remote platforms are communicating via wireless communications, and you don't have always the possibility to provide the high quality raw video via this communication in order to be manipulated or a process at the cloud. And, therefore, you must have the capabilities on the remote platform to do the AI functionalities, and that's the only way to enable the platform to take decisions automatic autonomously. For example, if we'd like from a drone to detect objects to classify them, to attack them, and to do some other functionalities. So that's the reason we need everything at the edge. Another question, which made by Brian as well, do you think that edge AI devices will be complement to other AI video processing solutions or an alternative to those systems? I believe that the answer is quite similar. You need whatever is the technology either Maris, either other platforms, you need a platform at the edge to provide the computing capabilities, and there is no -- there is no any other alternative except of having the right sensors, having the variety of sensors day and night, and the possibilities to process them with AI acceleration capabilities.
Unidentified Company Representative: It's fine. Let me confirm.
Israel Bar: Okay. Another question, from Jacob Greenblatt (ph). How big a role does AI – sorry, I lost the question. Okay. Sorry. A question from Jacob Greenblatt. Can you discuss the use of AI in use case markets? Yes. I can definitely discuss, and that's what we are doing now, with our U.S. partner. We are developing based on our Uranus platforms. We are developing AI capabilities in space for situational awareness, and the idea is that surrounding cameras, surrounding a nanosatellite will be able to detect threats in space and to avoid collisions and use for proximity and accurate landing whenever necessary. We have a question related to the situation in Gaza, and the question is, if we are able to announce all the major deals given sensitive political situation about Gaza War. Now we can announce deals and we are announcing deals without going into much details, and not always it can be related to a specific war, no matter where it is. But if there is an a significant announcement, then we will announce.
Nir Bussy: There is another question about our gross margin. I'm happy to see your gross margin above 25% -- 50% now in the second half. Do you have end gross margin guidance now? We are a project company with a set of different products. Therefore, the gross profit is determined according to the mix of product that the company sells each year and of course, as any manufacturer company. Since, we has a fixed overhead, then an increase in the amount of sales may have positive effect on the gross profit profitability.
Israel Bar: Okay. So we don't have any further questions. And if there is no other question now, then thank you very much, and we hope to see you in our one of next webinars. Thank you all.